Operator: Good day, ladies and gentlemen and welcome to the Wireless Telecom Group Q2 Earnings Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Mike Kandell, Chief Financial Officer. Sir, the floor is yours.
Mike Kandell: Thank you, operator. Good morning, everyone and thank you for joining us on today’s conference call to discuss Wireless Telecom Group’s second quarter 2022 financial results. With me today is Tim Whelan, the company’s CEO. Before we begin, I would like to remind everyone on the call that our remarks today include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. In some cases, such forward-looking statements maybe identified by terms such as believe, expect, seek, may, will, intend, project, anticipate, plan, estimate or similar words as well as statements that do not relate strictly to historical or current facts. The company’s forward-looking statements are based on management’s current expectations and assumptions regarding the company’s business and performance, the economy and other future conditions and forecasts of future events, circumstances and results. Forward-looking statements are not guarantees of future performance and involve a number of risks and uncertainties that could materially affect actual results. Important factors that could cause the company’s actual results to differ materially from those in its forward-looking statements include those risk factors set forth in the company’s 2021 annual report on Form 10-K filed with the SEC on March 17, 2022. The company does not undertake any obligation to update or revise any forward-looking information to reflect changes in assumptions, the occurrence of unanticipated events or otherwise. Also, we want to point out that in addition to GAAP information, we will provide information related to certain non-GAAP measures. We believe that presenting these non-GAAP or adjusted measures provides additional meaningful information to investors, which reflect how management views the business. Detailed reconciliations of GAAP measures to non-GAAP measures are set forth in a reconciliation table in our press release issued earlier today and furnished with the Form 8-K filed today with the SEC. With that, it’s now my pleasure to turn the call over to Tim Whelan.
Tim Whelan: Thank you, Mike and good morning everyone. There has been a lot of activity this quarter and I will cover three updates today. First, our strategic alternatives process; second, our Q2 results; and finally, our cash forecast. To start, let me rewind and review where we came from, including what we announced 2 weeks ago in connection with our Annual Shareholder Meeting. We will start with the Microlab transaction, which was designed to allow us to narrow our strategic focus, payoff our debt and add cash to the balance sheet. Following this transaction, we reorganized around our two remaining higher growth and higher gross margin segments, Test and Measurement and Radio Baseband and Software. Following the Microlab transaction, we kicked off a refresh for our strategic plan, which includes considerations of the capital markets, the health of the total addressable markets, competition and partners and near-term risk and opportunity for growth and increasing profitability. This process, of course, is also designed to understand if the best way to unlock shareholder value is through a sale process or other strategic alternatives. And the Board determined that we should be considering outside advice to help us consider a full range of options. This is why we have engaged CDX advisors to assist us with this process, which includes evaluating the cost of being a small public company. We have various scenarios under evaluation, including the sale of the whole company or the sale of one or both segments separately to realize some of the parts valuation or continuing to operate the business for growth and profitability, among other things. We are positioning these segments to potentially unlock some of the parts valuation. This includes illustrating the segment profitability of Test and Measurement, including 57% gross margins in 5 years of gross margin increases as well as segment contribution margins greater than 24% of revenues. We believe T&M segment analysis valuations compare favorably with other Test and Measurement companies, which typically trade as multiples of EBITDA and in the high single digits to low double digits. Our positioning for RVS includes demonstrating the compelling growth opportunity of 5G private networks and small cell deployment. This includes the growth we experienced in 2021, driven primarily by increasing high gross margin software revenues as well as illustrating the high-growth end markets supported by multiple analysts and third-party consultants, which describe compound growth expectations in these addressable markets above 15%. We believe that unique and differentiated value of our software stack and services compare favorably to other software technology providers, which traded a multiple of revenue. This comprehensive formal strategic review process is underway. We do not intend to comment further regarding the process unless or until a specific transaction is approved by our Board, the formal review process is concluded or it is otherwise determined that further disclosure is appropriate or required by law. And we can provide no assurance or guarantee of the outcome. The second update today is our second quarter and first half results, and I think there are a few headlines here to cover before Mike goes through this in more detail. Our first half revenues were $13.7 million, a decline of about $2.3 million from the first half of the year. When comparing these periods, this was almost entirely driven by the lower hardware card shipments within the RBS segment. Importantly, we were encouraged that first half 2022 T&M revenues were 7% higher than last year’s first 6 months results. As we compare these results to our beginning of the year expectation, we were certainly impacted by a few unexpected Q2 issues. This included canceled backlog and funnel opportunity from customers in Russia and also included lower PO expectations from China impacted by COVID shutdowns. The second quarter results also demonstrated some general economic concern by our customers as we realized more uncertainty in our funnel with missed dates of commitments and in some cases, lower volumes on purchase orders than originally quoted. And last, the topic we’ve discussed previously with you is the impact of our supply chain. As the near doubling of time for the delivery of certain chip components has delayed shipments for orders in the backlog, which we estimate had nearly a $1 million impact we would have otherwise been able to ship. My last point on Q2 is a reflection on our July contract signatures and bookings, which slightly exceeded $3 million. One particular contract, the $1.5 million 5-party ADVA contract for small cell research was long anticipated and awaited, and we’re excited to begin our work here. In addition to a strong month of July, we have verbal wins for another multimillion-dollar deal, and our expectations for the quarter are consolidated bookings between $8 million and $10 million. So, with this outlook, we are hopeful that the issues causing the weaker Q2 are beginning to resolve themselves and we have some improved timing and catch-up in the third quarter. Long-term and in thinking beyond just our second quarter or the next two quarters, we are optimistic for additional growth and I will give you some data points that support this. Our consolidated revenue growth for the combined RBS and T&M business was 31% for the years 2021 versus 2020. Further, if you strip out the lumpy hardware sales in RBS, then our growth for T&M and RBS was 18% for the years 2021 versus 2020 and 14% on a compound basis for the period 2019 to 2021. These data points, along with our new products and our technology road map, create excitement for expectations of more bullish, longer term growth as we address compelling investments in LEO satellite expansion, semiconductor-manufacturing, quantum computing expansion and 5G small cells and private networks. Last, our gross margins remain strong, and we have pricing power in each of our two segments. We have continued to reduce recurring operating costs, and we expect higher revenues will drive increasing operating profitability. Overall, we continue to manage our segments for growth and profitability. My third update to you today is our cash balance and forecast. We reported $13.3 million of cash on the balance sheet at June 30, and our forecast is for approximately $9.4 million on our balance sheet at year-end December 31. Since the Microlab transaction, our use of cash has primarily been around the following areas: the pay-down of debt and elimination of interest expense, the satisfaction and payment of accrued and deferred Holzworth and earn-out payments and the buyback of our shares. We are also expecting some increases in working capital as supply chain dynamics change, including the increase of advance payment demands for certain hard to procure components. With respect to the share buyback program, a few points here. You may recall the Board of Directors authorized a $4 million buyback program and we have utilized approximately $2.6 million so far. We have capacity with the remaining share buyback amount of $1.4 million. Also, we do not currently have any expectations for the use of cash for any acquisitions. To summarize, our second quarter 2022 reflects some greater near-term uncertainty, which we hope will be short term and contained in Q2. Longer term trends and expectations reflect higher growth rates and opportunities for increased profitability. With our strategic alternatives process, we will be exploring interest in the company and how we unlock shareholder value in the near-term. With that, I am going to turn the call back over to Mike to walk us through the financials.
Mike Kandell: Thank you, Tim. Before I begin, I want to remind everyone that Microlab’s financial results have been excluded from continuing operations and are presented as discontinued operations net of tax on the statement of operations. Further assets and liabilities of Microlab as of December 31, 2021 have been reclassified on the balance sheet as assets and liabilities of discontinued operations. The cash flow, however, is presented on a consolidated basis. My discussion of the financial results for the 3 months ended June 30, 2022 as compared to June 30, 2021 will be on continuing operations unless otherwise noted. Consolidated revenue for Q2 2022 decreased 22% from the prior year due primarily to lower digital signal processing hardware sales at RBS. Software sales at RBS also declined year-over-year, but as stated on prior calls, RBS software and services revenue is expected to be lumpy due to the complexity of the projects and revenue recognition patterns associated with those projects. Consolidated gross profit decreased 22% from the prior year due primarily to lower revenue at RBS, while consolidated gross profit margin was consistent with the prior year as T&M continues to generate strong gross profit margins above 56%. Consolidated operating expenses decreased 1.6% from the prior year period due primarily to lower third-party R&D expenses, lower intangible asset amortization expense and lower headcount-related expenses, offset somewhat by higher stock compensation expense and nonrecurring expenses associated with our divestiture activities and strategic alternatives process. Our GAAP loss from continuing operations is $1.4 million, which compares to net income of $1.1 million in the prior year period. This is primarily due to lower gross profit in the current year and the recognition of the $2 million gain on forgiveness of the PPP loan in the prior year period. Our non-GAAP adjusted loss from continuing operations, which excludes non-cash amortization of purchased intangibles, non-cash stock-based compensation expense, gains and losses on the extinguishment of debt and other nonrecurring expenses, was $887,000 for the second quarter 2022 as compared to income of approximately $459,000 for the same period last year. The decrease is due to the decline in gross profit year-over-year. Turning to the balance sheet. Our cash balance as of June 30, 2022, is $13.3 million as compared to $19.1 million as of March 31, 2022. Our working capital increased since year-end and the first quarter due to an increase in accounts receivable because of the timing of shipments in the quarter and to a lesser extent, an inventory due to higher stocking levels of hard to procure components. During the second quarter, we also paid approximately $600,000 in Holzworth earn-out payments, $500,000 in estimated tax payments and made $2.5 million in share repurchases under the company’s share repurchase program. As stated in our Annual Shareholder Meeting on July 29, we expect to have approximately $9.4 million in cash at the end of the year. I will now turn the call back over to Tim for some closing remarks.
Tim Whelan: Thank you, Mike. Again, we are expecting a much stronger Q3 as we think about customer contracts and bookings, and these results will give us much better data for predictability on the full year. With respect to the strategic alternatives process, this is active, but we cannot provide any assurance on the timing or outcome, and we are fully prepared to continue operating the business for growth and profitability if the Board believes we should conclude the strategic review process. Thank you. And operator, if you could please open the lines for questions.
Operator: Thank you. [Operator Instructions] And the first question this morning is coming from Nick [indiscernible] from NR Management. Nick, your line is live. Please go ahead.
Unidentified Analyst: Good morning fellas.
Tim Whelan: Good morning, Nick.
Unidentified Analyst: Hi. Just a few questions here. If we look at the margins for the Test and Measurement and compare those to other companies, some companies, large companies, do you think that asset in the hands of a larger company with greater resources could improve its return profile? That’s the first question. Second, are you all done with Holzworth earn-out or is there more to come? And that in the context of is, are you looking to utilize more cash to finish with Holzworth earn-out? And then on software, I know it’s a little difficult, but what’s a reasonable expectation for software revenue in the next 12 months, because I understand it’s a complex selling set. It’s really not scalable. It’s kind of you have to custom fit a solution for each customer, you maybe very excited about it, but the results really don’t show maybe what the promise is. So, if you could just give us a reasonable expectation a year from now what the revenue profile could be there? And are you still getting a tax credit for CommAgility? And okay, that’s it for now.
Tim Whelan: Great. Well, thank you, Nick. There is a lot. We will start with the margin profile and expectations in a larger company. I really can’t comment or speculate on what those margin profile would look like in a larger company. What I do reflect on is over 5 years, we’ve increased our margins – gross margin profile in Test and Measurement, we are quite proud of that. It demonstrates both the pricing power we have and the ability to manage our supply chain effectively and continue to redesign our products, our existing products and bring new products to market that have pricing power and margin expansion. With respect to the Holzworth earn-out, as our cash forecast noted, in the Annual Shareholder Meeting, we have noted here, we do have an expectation in the second half of the year. There’s approximately $2.3 million of that deferred liability that’s been on the balance sheet for a period of time. And so, we do have an expectation we use some cash to pay that down in the second half of the year. In fact, we forecasted the use of all cash for the second half of the year. In terms of and turning to RBS and your question about software, I’ll just reflect that in 2019, the software and services was approximately $1.4 million. In 2020, it was over $2 million in 2021, it was over $4 million. So just to give you a growth profile on the increase of software and services over the last 3 years, I think we can continue improving on that and continue showing the growth on that $4 million in change of software and services last year. And I think the data point there, Nick is ADVA, which is really a software and services contract bundled together. So, I continue to believe we can grow that and outsized pace, potentially well above that 15% growth rate that we have set an expectation for that business segment. The last part of your question is the tax credit. Yes, we do have an expectation that we’ll have a tax credit again for the current year. Last year, I believe it was approximately $1 million or slightly over $1 million. Mike can correct me on that if I’m off but we haven’t finished all the filings for the current year, but it will be in the high six figures. So, I think I touched upon the 4 points of your question, Nick. And again, we’re thinking quite enthusiastically about the second half of the year with the contracts we have. We think quite enthusiastically about Q3 across both segments and across all of our brands. Our expectation is we will have multiple 7-figure opportunities that will close within the quarter, and that will really set us up to understand the predictability on the full year as well as understanding the supply chain challenges that I think everyone is having and what we can do to set expectations as we think about the full year.
Unidentified Analyst: Okay. So just once again, 12 months from now, what is a reasonable expectation for software license revenue?
Tim Whelan: I think it’s going to be above that $4 million, Nick. And we are going to be able to have a better understanding of that as we close out contracts in Q3, but growth well above the $4 million. That’s certainly in our expectation.
Unidentified Analyst: Okay. And then – and once again, you referenced in your opening that you made the comment about the cost of being a small public company. And as someone who invests in a lot of micro caps, this is very important. It is very expensive, which I’m sure CDX advisers and everything is looking and this is why I brought the question about would a larger company might be able to provide in terms of with T&M, what they could do with it. And have you ever quantified what exactly the costs are of being public company with a company with a $30 million market cap, it’s clearly over $1 million a year, right?
Tim Whelan: Yes, that’s right. I think we have previously referred to this as a couple of million dollars of direct expenses, as you rollout, filing fees, the cost of an independent board, compliance issues, but there is also the cost of the time, the amount of time that we invest. And I think both are the appropriate things to do is we are a small cap or a microcap company. But yes, that’s an opportunity for leverage as we think about a larger enterprise and potentially this business being owned by a larger enterprise or being out of the pumping markets.
Unidentified Analyst: Right. Okay, thank you very much. I appreciate it.
Tim Whelan: Very good. Thank you, Nick.
Operator: Thank you. And the next question is coming from David Wright from Henry Investment Trust. David, your line is live. Please go ahead.
David Wright: Good morning. Thanks for all the various detail you offered in the remarks.
Tim Whelan: Thank you joining us, Dave. Good morning.
David Wright: Okay. When you think about Test and Measurement EBITDA, what number do you think about?
Mike Kandell: Well, the segment footnote will disclose that the contribution margin is approximately 24% of revenue. If you allocate or assign some of the – or certain of those corporate costs supportive of the Test and Measurement segment, you are still above 20% as you think about in adjusted EBITDA for that standalone segment.
David Wright: Okay. I don’t have any other questions.
Tim Whelan: Great. Thank you, David.
Operator: Thank you. And your next question is coming from Michael Potter from Monarch Capital. Michael, your line is live. Please go ahead.
Michael Potter: Good morning, guys. Very good call. Thanks for the additional information you guys are giving us this morning. Tim, can you give us a little more color on, I guess, the second half of the year. It’s exciting you got a verbal win for a multimillion dollar order I am assuming that is RBS. How does our funnel look for the remainder of the year? And do you think the back half of the year will enable us to show growth for the year as a whole?
Tim Whelan: Yes. We are optimistic on that, Michael, although the details are yet to fall in place. So, I’ll just go back and maybe provide just a little bit more clarity. The multimillion dollar deal that we signed in July is RBS, that’s the ADVA contract. I also noted in my remarks that we have verbals on other multimillion dollar POs, those are in the T&M business, and those are expected in the quarter. In fact, since most recently, we have two verbal commitments for 7-figure or more orders from two separate customers in the T&M segment. Ultimately, the details of those purchase orders will give us a much better understanding of expected delivery dates and as well as the ability for us to go into our supply chain and make sure that we understand what we can commit to that customer. So Q3 bookings, again, within the $8 million to $10 million range, we are quite confident of that. And the last few weeks have been very promising. We have had some very good order flow. And as those come in, we will have a much better beat as we receive those POs and work through our own supply chain.
Michael Potter: Okay. Terrific. That’s it. Everything – you have answered most of my other questions. Thanks. I will get back in queue.
Tim Whelan: Thank you, Michael. Appreciate you joining.
Operator: Thank you. And there are no further questions in queue at this time. I would now like to turn the floor back to Timothy Whelan for closing remarks.
Tim Whelan: Very good. Thank you everyone for joining us today and we look forward to speaking with you again soon.
Operator: Thank you, ladies and gentlemen. This does conclude this morning’s conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.